Operator: Welcome to today's Avangrid Second Quarter 2022 Earnings Call. Please remember, all lines will remain muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions] It is now my pleasure to pass the conference over to our host, Alvaro Ortega, Vice President of Finance Investor and Shareholder Relations and Risk. Please proceed. 
Alvaro Ortega: Thank you, Soren, and good morning to everyone. Thank you for joining us today to discuss Avangrid's second quarter 2022 earnings results. Presenting on the call today are Pedro Azagra, our Chief Executive Officer; and Patricia Cosgel, our Chief Financial Officer. Also joining us today for the question-and-answer part of the call will be Catherine Stempien, President and Chief Executive Officer of Avangrid Networks; Jose Antonio Miranda, Co-CEO and President, Onshore; Saygin Oytan, Senior Vice President, Offshore, and other members of the leadership team. If you do not have a copy of our press release or presentation for today's call, they are available on our website at avangrid.com. During today's call, we will make various forward-looking statements within the meaning of the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995 based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in Avangrid's earnings news release in the comments made during this conference call in the Risk Factors section of the accompanying presentation or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, avangrid.com. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to information contained in the slides accompanying today's presentation for definitional information and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. I will now turn the call over to Pedro.
Pedro Azagra: Thank you, Alvaro, and good morning everyone. We appreciate you joining us for our second quarter earnings call. Let's get started on slide number 5. First I would like to say how honored I am to have the opportunity to lead this company as CEO. Over the last 25 years with Dennis Arriola I have had the privilege of working closely with our US team. As I stepped into this role, I became both proud of the foundation we have already laid and confident in our ability to become the industry leader. With a diverse business mix combining a strong regulated footprint with additional value from onshore wind and solar, significant untapped potential in offshore wind and the backing of a global best-in-class leader of Dennis Arriola, Avangrid is in a unique position to drive continued growth. I believe there is huge potential for Avangrid and I'm prepared to take with the team this company to the next level with safety principles guiding us, execution and delivery of strong results, sustainable growth and value creation for the benefit of our customers and all our stakeholders. Our results in the second quarter and first half of the year showed that this company's next phase is off to a solid start even with the current challenging macro environment. We have had an excellent quarter and six months with a strong double-digit growth recorded in both businesses. At a consolidated level, EPS and adjusted EPS rose 69% and 31% year-over-year in the second quarter. And in the first half rose 24% and 12% year-over-year, respectively. In addition to our financial achievements, we have worked over the last few months to strengthen our leadership team, ensuring we have the right people, with deep knowledge of our business and the expertise we need to deliver and we've enhanced our focus on relationship building through regulatory and government affairs outreach. Last week, Avangrid’s Board Chairman, Ignacio Galan had the privilege to join President Biden in Somerset, Massachusetts, as he announced new executive actions to combat climate change and support the US Oxcord wind at Breakdown Point, the feature side of Massachusetts first Oxcord cable manufacturing facility made possible by our Commonwealth wind project. In Networks, we are focused on making the investments needed to upgrade critical and aging infrastructure, to enhance resiliency and to deliver on state clean energy commitments. We're moving forward on rate cases in several of our jurisdictions. Over the last few months, we filed rate cases for our New York companies, issued a notice of intent to file in Maine and reach a settlement in Massachusetts with Attorney General's office. These rate cases will support thousands of jobs each year over the next several years. In Renewables, we placed our 201-megawatt Golden Hills wind farm into operation and are now steadily progressing on the construction of approximately 1,600 megawatts of new renewable capacity, both on and offshore. We have maintained our high operational standards with 97% energetic availability in the first half of the year. And amidst record inflation in a challenging macro environment, putting pressure on all companies, Avangrid through its resilient business mix, a strong liquidity focus on continuous improvement and support as part of a leading global group will help us effectively navigate those challenges. Turning now to slide number six. Patricia will discuss our financial results in greater detail later, but I want to emphasize one important point. We're not just delivering extremely strong result this quarter, but also continuously over the last two years. I am proud to have supported these efforts since our Board of Directors appointed me as a Special Adviser to the CEO in June 2020. As compared with our first half 2020 results, both net income and adjusted net income have grown nearly 90%. Furthermore, in just the first six months of 2022, we have managed to achieve adjusted net income on a similar level to the full year net income, we reported six years ago, $632 million. These are outstanding results, we have translated into increasing earnings per share. Since the first half of 2020, both EPS and adjusted EPS have grown approximately 50% even with the impact of last year's equity issuance, our adjusted EPS has grown of 2020 at an impressive 22.5% compound annual growth rate and our first half EPS has grown at a very healthy compound annual rate of approximately 8% since 2016. Our strong performance has allowed us to maintain our guidance for the year of $850 million to $920 million in adjusted net income and $2.20 to $2.38 per share in adjusted EPS. Turning to the network business on Slide 7. We have been focused on operational sellers to deliver improved reliability and customer service. Despite a higher number of minor storms in New York, which are up by 9% year-over-year, we are meeting all of our COD regulatory targets and have improved our savings by 12%. Our improved performance is driven by our ongoing reliability programs, including vegetation management, asset condition projects, grid modernization, operations patrols, and other reliability and resiliency investments. We're working to improve our safety in New York, which we are addressing through our rate cases. Four of our operating companies: CMP, NECEC, and UI have received EI emergency response and mutual assistant awards. These accomplishments are a testament to the hard work and dedication of the teams, who made the long journey down to Louisiana to lend support to the hurricane Ida recovery efforts last September, as well as those who stayed closer to home to support our customers and capitalize on. In addition, we thank everyone in Avangrid who worked so diligently, particularly in the field to support our customers and communities and keep the lights on during the COVID-19 pandemic. In customer service, CMP has continued to deliver significant improvements enabled us to meet our service quality indicators in Maine, and improve our ROE by 100 basis points. We have also been engaging customers with our digital offerings increasing our ABL adoption by 25% year-over-year from $880,000 in June 2021 to $1.1 million in June 2022. Turning to slide 8, we have been making significant progress on regulatory matters in Networks. In New York, we filed four rate cases in May for the electric and gas operating companies. We're submitting a one-year rate case plan consistent with the New York Commission requirements. The $1.8 billion for 2023 responds to the state's clean energy and climate goals and include infrastructure investments for a more modern resilient sustainable and smart grid, resources to support customers and local communities energy PCC programs and economic development proposals as well as infrastructure investments that align with our ESG+F strategy. Our proposal fully supports a multiyear rate plan with $8.6 billion of investments including $2.9 billion to support the state clean energy commitments. Even with these newly proposed rates effective May 2023, they will still be among the lowest in New York. We will be filing updated testimony and exhibits shortly. In addition, to our rate filings the New Year Public Service Commission approved the Electric and Gas Bill Relief Program which provides up to $51 million of bill credits to customers, who have past due bills or are income eligible. The commission also approved a petition allowing for the surcharge recovery of $10 million in late payment charges lost due to COVID. In Massachusetts, we successfully negotiated a pre-filing settlement, with Attorney General, which is quite exceptional. We will be making incremental investments annually through 2022 and beyond. Our settlement includes a stay-out through November 2025. We expect the commission will rule on the settlement this fall. Rates will be effective January 2023. In Maine, we filed a notice of intent to file our electric rate cases. We will be proposing at the year rate case plan to mitigate customer bill impacts and insurer price stability. These investments would help make the distribution system more resilient storms, restore power faster after outages and enable more renewable power generators to connect to the grid as the state transitions to more clean energy. Even with these proposed rates, the customer bill increase would be below the current rate of inflation, and our new rate will be the lowest in New England. Additionally, CMP's approved settlement in the annual compliance filing authorized our consideration of stranded costs that has allowed us to reduce residential deals by 2.7% and amortize $60 million of deferred stock costs over 12 months. In Connecticut, we are working on our rate case filing for UI, which will be filed as soon as next quarter and we are evaluating the right timing to file for our gas companies. Turning now to Slide number 9. We continue to lead the US offshore wind industry with three contracted projects in New England that we delivered 2.8 gigawatts of installed capacity 2.4 gigawatt owned. Our 806 megawatts Vineyard Wind 1, the first large-scale offshore wind project in the US is progressing on track with the 2022 key milestones, with a fully contracted supply chain and fixed or capped labor costs. We have completed the project's drilling and NAMCO connections activities and in parallel manufacturing of the array cables has started. We are on track to start export cable installation by the end of 2022 and to begin producing power in the second half of 2023. In Maine, we achieved an important milestone for our Park City Wind project by signing a Host Community Agreement with the tunnel parts table, which will support the onshore connection of our transmission cables. Importantly, execution of this agreement demonstrates the strong local support for the project and our commitment to community engagement, which in turn meaningfully reduces potential development and litigation risk. We have also received approval from FERC for our transmission support agreement, which will ensure necessary upgrades to the onshore grid are made and have filed state and local permits. We continue to make steady progress on Commonwealth wins. Recently, we secured a key position that enabled us to fully interconnect the project in a Cape Cod creating synergies with Park City Wind and streamlining our project schedule. We have also executed our PPA for 1.2 gigawatts with the Massachusetts utilities and have filed those contracts with the state regulators for final approval. Our strategy for Park City and Commonwealth wind is to execute these two wind farms as a single 2-gigawatt project. By doing so we will be able to maximize economics of scale and efficiencies, employed execution, optimized operations and leverage increased purchasing power, which will ensure we deliver these projects in the most cost-effective way. We expect to receive a record decision for the combined lease area during the second half of 2023. Avangrid's offshore wind and labors will also benefit from the experience and the scale of Iberdrola Group with their 1.3 gigawatts of offshore wind in operation, 5.5 gigawatts approximately under construction or secured and a pipeline of over 30 gigawatts. Turning now to onshore renewables business on Slide 10. Over the last 12 months, we have installed 421 megawatts of new capacity, including our 201-megawatt Golden Hills project, which entered operations in the second quarter. We also have approximately 780 megawatts of additional capacity under construction with planned operation in 2022 and 2023. This incremental capacity 106 megawatts is included on offshore wind and 674 megawatts of solar for which we have already contracted or require solar panels. The 674 megawatts of planned solar represents a significant expansion to our solar portfolio in the US, roughly doubling our existing installed capacity 370 megawatts at present. Like our offshore endeavors, our onshore business will also benefit substantially from the IBERDROLA group's best-in-class renewables expertise and global scale. As worldwide leaders in onshore renewable for over two decades, the group has now approximately 23 gigawatts in operation approximately 5.1 gigawatts under construction and a pipeline approaching 66 gigawatts. In combination with delivering on our new capacity, our team is also deeply focused on mitigating risks and ensure profitability. To date, we have successfully renegotiated certain terms and conditions for 480 megawatts of PPAs to address inflation pressures and accommodate headroom impact and we continue to work with our customers and suppliers to be proactive and further minimize macro impacts to the extent possible. Turning to Slide 11. I wanted to share with you a few key priorities I have set for our team to drive alignment and ensure we continue to execute and build our strong momentum over the remainder of the year and beyond. Globally speaking, our efforts will be directed in three places: first, on the delivery of our existing commitments and working through the current macroeconomic situation. Here, we will be looking at multiple levers including continuous improvement, operational excellence and earning our ROEs, onshore construction and asset profitability, offshore execution on time and on budget, enhancing the customer experience and actively managing our supply chain. Secondly, on developing our team and building relationships by focusing on talent retention, development and engagement, continuing to drive alignment and accountability across the organization and enhancing our engagement with regulators and other key stakeholders. And lastly, we must always be focused on growth and seek out profitable opportunities to grow and to create value. What I would like to highlight here is our commitment to close our merger with PNM Resources, our rate cases and the critical investments in our system that they proposed, potential value-add opportunities for asset rotation and partnerships. And our focus on innovation and promising new technologies such as green hydrogen by leveraging our capacities and capabilities and assets across the US as well as the expertise of IBERDROLA. We already have two projects in operation. In support of this goal, we have established a cross-business team that is collaborating with the strategic partners and regional stakeholders to build coalitions for the DOE's $8 billion clean hydrogen hub program. Every step of the way, our actions will be guided by our commitment to ESG+F leadership. Over the last year, we've taken further steps to progress on our goals and commitments including working towards gender parity and targeting SCOPE1 neutrality by 2035. Today, 31% of our senior leaders are women and our generation is 91% emission shrink approximately. Avangrid is well positioned for success and we have many opportunities ahead. Now it's up to us to translate those opportunities into actions and deliver success. I look forward to sharing our results in the months and years to come. Now I will hand it over to Patricia to take you through the financial results. 
Patricia Cosgel: Thank you, Pedro. Good morning, everyone, and thank you for joining us today. Turning to our financial performance for the second quarter and first half of 2022. I'm pleased to report that Avangrid continues to execute and deliver strong financial results adding to the great start we had in the first quarter. In the second quarter of 2022, we produced net income of $184 million and our adjusted net income was $178 million, increases of 88% and 46% respectively from the second quarter of 2021. EPS and adjusted EPS for the second quarter of 2022 were -- second quarter and first -- second quarter of 2022 were $0.48 and $0.46, up 69% and 31% respectively compared to the second quarter of 2021. For the first half of 2022, our net income was $629 million and our adjusted net income was $628 million, increases of 46% and 32% respectively from the first half of 2021. EPS and adjusted EPS for the first half of 2022 were $1.63 and $1.62, up 24% and 12% respectively compared to the first half of 2021. As a reminder, EPS and adjusted EPS are impacted by the issuance of additional shares in May of 2021, yet still increased significantly in the second quarter and first half comparisons, demonstrating strong growth in earnings with the successful deployment of the equity issued to fund our growth. As Pedro mentioned, the two-year adjusted EPS CAGR from 2020 is over 22% with our focus on ESG+F execution and driving results. As you can see on the next slide, similar to our first quarter results, each of our Networks and renewables businesses realized double-digit growth in net income, adjusted net income, EPS and adjusted EPS for the second quarter and first half of 2022. Networks, our largest business segment had another strong quarter, delivering an increase of adjusted net income of $21 million or 19% year-over-year to $129 million. For the first half comparison, networks adjusted net income increased $45 million or 13% year-over-year to $382 million. The increase in the first half of 2022 over the first half of 2021 is largely due to the implementation of our rate plan, primarily for the New York companies, which increased adjusted net income by $44 million. Included in this amount is a small but positive impact of about $1 million from the removal of our 100 basis point negative ROE adjustment at the Central Maine Power Company due to our improved customer service metrics, which raised our ROE to 9.25%. Additionally, as part of the joint utility arrearages order in New York, we were allowed to recover $51 million of overdue receivables through a surcharge of $35 million a state contribution of approximately $50 million, which enabled us to reverse a reserve held against these aging receivables and resulted in a benefit of $11 million to adjusted net income. As part of the New York late payment fees order, Avangrid also contributed $1.6 million. These increases as well as higher capitalized labor positively impacted the year-over-year comparison, offsetting higher personnel costs and depreciation, primarily related to rate plan commitments and the implementation of our capital investment plan and the 2021 AFUDC from the NECEC transmission project. Moving to Renewables, adjusted net income increased $26 million or 64% quarter-over-quarter, reaching $66 million for the second quarter. In the first half of the year Renewables reached $277 million of adjusted net income, a significant year-over-year increase of $113 million. Primary drivers for the year-over-year improvement was a $181 million gain realized as a result of the restructuring of our partnership agreement for our New England offshore wind lease areas, offsetting the positive impact from storm, hurricane totaling $83 million in 2021. Favorable pricing and production added approximately $26 million and new tax equity finance projects added $14 million, offset by lower several trading results and cost of the business including depreciation. Finally for Renewables, the decline in the first half year-over-year comparison of adjusted EBITDA with tax credit reflects the positive strong rate impact in the first quarter of 2021. Importantly, the second quarter year-over-year contribution of adjusted EBITDA with tax credit was positive improving 21%. Moving on to updates to our financing, liquidity, dividends and credit ratings, we continue to finance our growth cost effectively with our access to diverse financing resources including green financing. In the second quarter, several investors committed tax equity funding for 606 megawatts of solar and onshore wind projects, allowing us to monetize tax benefits and achieve our projected IRR. In June, several of our regulated subsidiaries closed on $575 million of debt, locking in competitive rates in this challenging macro scenario, including CMP's inaugural green bonds. These utility notes were each issued with a delayed draw feature providing us with the opportunity to secure the pricing early for funds to be issued this December. As you know, $4 billion of equity in May -- we issued $4 billion of equity in May of 2021 which we've been using to fund the capital investments in Networks and Renewables. As of the end of the second quarter, we had approximately $400 million of cash which along with our ongoing cash from operations, additional debt at the utility level, tax equity financing and renewables, our $2 billion commercial paper program backed by a $3.575 billion credit facility and our $500 million intercompany line of credit with Iberdrola, we will use to fund investments and dividends for the remainder of the year. We also have the unique benefit of being a member of the Iberdrola group, which also had strong liquidity of approximately €25 billion, covering 27 months. Our dividend policy remains the same. We are targeting a payout ratio of 65% to 75% that we will grow into as our earnings increase overtime. And our Board recently declared a quarterly dividend of $0.44 per share, payable on October 3rd. With our predominantly regulated business mix access to multiple sources of funding, strong liquidity profile and the backing of our parent we are committed to maintaining solid investment-grade ratings both at Avangrid and at the utility. Moving now to the next slide, we are reaffirming our 2022 outlook for net income and adjusted net income of $850 million to $920 million and EPS and adjusted EPS of $2.20 to $2.38 per share. This is based on our excellent year-to-date results driven by the execution of investments in our rate plans, by our additional renewables capacity availability and operational performance, by our strong financial profile and liquidity and by our ongoing best practices cost management and value creation from our continuous improvement initiatives. Turning to the next slide. Avangrid closely monitors the macroeconomic environment and its impact to our businesses. We have a resilient business model which is sustainably based on network companies and has 91% emissions-free generation. We need to be agile and diligence, adapting to and mitigating impacts, working with key stakeholders and remain focused on delivering strong operational and financial results and efficiently managing our businesses. As we highlighted throughout this presentation, we have increased or are initiating measures to address the challenges of the macro environment. We have a resilient business and financial structure with solid investment-grade rating, strong liquidity and a demonstrated access to capital. We have rate cases in process and in planning to minimize the gap between rate plans and account for updates to needed investments and cost of the business. In the rate cases we filed in New York for example, we've requested a new inflation reconciliation measure and a continuation of our interest rate reconciliation mechanism and our FERC transmission rates reconcile annually. Together the New York company and FERC assets comprise over 70% of our rate base. And in each of our utilities, commodity costs are pass-through. In fact, recognizing the impact of inflation is also having on our customers, we are mitigating the commodity costs in states where we procure energy by incrementally laddering purchases overtime. We are also working with customers to educate them on energy efficiency measures and available payment plans and we have directly assisted in facilitating their access to available government aid. Importantly, we have demonstrated support of the Iberdrola Group which also has strong liquidity and access to capital and which has provided significant support in the past, contributing 81.5% more less equity raise, providing a low-cost bridge loan to the equity issuance to reduce our borrowing costs, entering into a $500 million line of credit with us and executing a backup commitment letter for the full amount of the PNM acquisition. Next, aside from our strength of our core business model we are prepared and proactively addressing the impacts of the macro environment. We are actively renegotiating PPAs to address inflation impacts across the renewables business and we are securing supply contracts early to mitigate inflation exposures to projects with PPA.  We are working with regulators and legislators to address the impact on rate filings and regulatory orders and we continue with value creation and cost-saving initiatives also leveraging the global economies of scale we have, as part of the Iberdrola Group.  In summary, in the second quarter we continued with our strong start to the year. In networks we're executing by improving reliability and implementing our rate plans focused on delivery of safe and reliable service, maintaining our financial health and supporting our customers.  In Renewables, we are improving availability and operating performance to maximize the performance of our assets. We continue to closely monitor our changing environment to take actions to leverage value-creating opportunities to mitigate inflationary impacts where possible to support our customers and to drive costs out of the business to maintain a disciplined and diversified investment strategy and we aspire to become the leading sustainability energy company in the US.  Thank you for joining us today for our second quarter update, I will now hand the call back to our operator for questions followed by closing remarks from Pedro. 
Operator: [Operator Instructions] Our first question comes from the line of Richard Sunderland with JPMorgan. Richard, your line is now open.
Richard Sunderland: Hi. Good morning. Thanks for the time today. Maybe just starting on the quarter, you spoke a little bit about power prices and renewables. Could you unpack what that benefit was year-over-year? And have you seen continued favorable pricing in the 3Q here?
Patricia Cosgel: Yes. So, I'll start with that Richard. In the Renewables business, outside of the game, we did have a benefit from pricing and production. So, it was really a combined impact. We had about $18 million for the quarter and $26 million year-to-date for the pricing and production of our assets. I also kind of wanted to highlight that while -- if we look at our net capacity factor, while it's lower than our long-term average, it's still about 3% higher than last year. And it's important to note that we have about -- produced about 7% more energy during the same period in 2021. And in fact, in ERCOT, we're about 12.5% higher for energy. I think if we're looking to compare to our long-term average, which is 2011 to 2021, it's also important to note that those net capacity factors only incorporate the curtailment in the last couple of years. We haven't -- we can see that in the earlier parts of the year, but that we're also recovering curtailment on payments on about half of our contracts. So, when you look at the NCS, you have to consider from an economic impact curtailment reductions in the net capacity factor are about 50% recoverable.
Richard Sunderland: Got it. I appreciate the color there. And maybe just one more on the quarter from me. Could you speak a little bit more to the labor capitalization and how much of a benefit that's driving to the bottom line? I'm also curious if this is -- you laid out in your rate plan that this might change with the upcoming rate filings in Maine or I guess, the current filing in New York.
Patricia Cosgel: Sure. I think the labor capitalization was primarily a first quarter impact. It does carry through to the first half, but was predominantly in the first quarter. And for the first half, it was about $8 million. And so, it's really part of an initiative that we go through every once in a while to make sure that we're appropriately capturing all of the dollars that were spent on capital projects as capitalized as opposed to expensing. So, we had some pickup of that in the first quarter.
Richard Sunderland: Got it. Thank you for the time today.
Operator: Thank you for your question. Our next question comes from the line of Michael Sullivan with Wolfe Research. Michael, your line is now open.
Michael Sullivan: Hey, everyone. Good morning. Wanted to just start with how the year has been tracking so far. It looks like you're already at about 70% of the guidance range for the year. Any particular reason why you wouldn't want to look to increase the range or headwinds we should be mindful of for the second half of the year?
Pedro Azagra: Let me answer that question. I think there is a feedback we have received loud and clear about the importance of us delivering, what we tell the market we're going to deliver. So, I think the first thing we're going to do is do so. I think since 2020, both in my case, on a supervisory basis appointed [indiscernible] to the CEO. And I can tell you that there were several executive committee meetings with the Chairman and the CFO of the parent company also being very involved overseeing what activity was being since 2020. I think in our case, we're having long-term projections announced in September. I think that is the moment we believe to come back to you with our guidance for the year and beyond. I think right now, we just need to continue doing things right and delivering.
Michael Sullivan: Great. Thanks. And then I also wanted to ask on the latest on NECEC. And I think we were anticipating a decision sometime this month. Is that still the case as we're kind of getting towards the end of July? And just it looked like the costs went up a little bit too. If you could just give any color around that and comfort on the cost going forward.
Pedro Azagra: Catherine, would you like to answer.
Catherine Stempien: Sure. I'll handle NECEC. Thanks for the question, Michael. On NECEC, as you know we are just waiting for the court decision. And our best estimate is just based on prior ruling by the court is that we'll get something this month, but it's up to the court. And so we'll just have to abide by their timing when they decide to issue a ruling. With respect to costs going forward, we are obviously keeping the project alive and continuing to make sure that we are keeping the site in its condition that we've agreed to under the various permits. But once we receive the court ruling, we'll have a better sense of the path going forward and costs in the future.
Michael Sullivan: Okay. Any color on what drove the most recent increase in cost though? 
Catherine Stempien: I don't believe the change in the cost has changed. The costs have changed, since we've stated about approximately $1.2 billion for that project.
Michael Sullivan: Okay. Right. But wasn't it initially like about $1 billion? What's the delta there? 
Catherine Stempien: The changes we've been updating, the cost of the projects as we go forward. I think we've disclosed in the past that we did have some additional expenses in defending the project against the referendum and some legal costs. So that increased the cost of the project from that initial $1 billion. 
Michael Sullivan: Okay. Great. Thank you.
Operator: Thank you for your question. Our next question comes from the line of David Arcaro with Morgan Stanley. David, your line is now open.
David Arcaro: Hi. Thanks for taking my question. I was wondering if you could give your view on let's say a recent house bill that would set nationality requirements for crews of offshore vessels. Just wondering what you think the path forward is for that and any concerns that might mean for the industry?
Pedro Azagra: I think Puneet Verma, our Senior President is here. So why don't you comment on this? 
Puneet Verma: Sure. Thank you, guys. Puneet Verma, Vice President Federal Government Affairs. The vessel recurring issue just for everyone's benefit we're talking about the same thing. This is the language that was advanced in the house thus far and it is the house of then what it was going to do. Overall, we would highlight that this provision, the way the house have drafted could impact all of for energy development. There is a broad set of stakeholders that would be impacted were this to actually get enacted in some way. So it is very much a bipart of an issue. And like I said, there's a large group very much focused on it. From our side, we're watching it very closely. And now really the conversation is in the Senate. The Senate has yet to act. They have not even drafted what their proposal would be on this issue, if they had one. And so we're working very closely on that front. The Senate does not have to follow what the house did, just from a procedural perspective everybody knows. So very much our focus on the Senate as is most everyone else could be impacted by this. Also we have met with the Biden administration to make sure that they are abreast of this issue, because this clearly could have an impact on the President's 2030 goal for offshore wind. And so folks are definitely paying attention. Overall, and this is no matter what side of the sense people are on this issue, there's broad alignment that the goal is really not to harm offshore wind and the thing that Avangrid is doing. The goal of the folks to propose this, is to help maritime labor. And so all the parties involved, are working now to figure out, okay, how can we get to a place where we're actually helping labor, but not harming the efforts of companies like Avangrid. So that's where we are on it. 
Pedro Azagra: And it's a top priority for us. So we are just starting to see, over last week. We are there all the time and working with everybody, that is needed to do so.
David Arcaro: Got it. Thanks. That makes sense. And then a separate topic. I was wondering in New York, if you could talk a little bit about the level of the rate increase that you've proposed there. And generally with rate inflation, how do you approach kind of managing the pressure on customer bills? And just curious, also generally, prospects for a settlement there. I know it's early in that process. 
Pedro Azagra: I think I would like Catherine and Kim to comment on this, from two perspectives. I think Kim leads our government affairs, and I think both can give a good picture. So, please. 
Catherine Stempien: Sure. Thanks, Pedro. So a couple of questions in there, to unpack what's going on in the rate case. First, from a schedule perspective. Right now, we are in a lot of discovery and there'll be some additional filings coming up in August, as well as September, a Discovery Conference and Rebuttal Testimony in October, and then evidentiary adherence are set to begin in November.  We would anticipate that we would start having settlement, negotiations getting all of the parties around the table, coming up this fall. And of course, we're very mindful of affordability for our customers. And that's why we're really excited about the arrearages order, that we recently received in New York, because that's going to help our customers reduce the impact especially, those that are income eligible of some of those COVID arrearages  And when we look at the rate impact overall for customers in New York, I want to emphasize that even with the proposed rate increases that we have in the rate case, we will still be among the lowest rate in the state of New York. So we're very proud of that and we will continue to work with our customers on those issues. We look at the actual rate, ask that we made in New York. A number of the factors are to really catch up from where we were at the beginning of COVID, when we entered into our joint settlement. Number of the issues in the joint settlement were deferred, until the next rate case and that's what we are addressing in a number of issues, in this rate case. We're also of course, addressing issues that for a state policy perspective really focused on resiliency, and focused on bringing New York, to its clean energy goals that it has set out. Finally, I'll note that within the rate case, we also had a number of rate mitigation efforts, whether that's accelerated depreciation or whether it is looking at the inflation proposal that we made, that we made kind of a voluntary reduction, mitigation proposal in the inflation that we put on our test year. And we've also proposed a reconciliation, both up and down for inflation going forward. And that's something that the New York PSC has approved in the past. We're in a time of volatile interest rates, like we are today. Kim, do you have anything to add? 
Kim Harriman: Yes, I would just add -- this is Kim Harriman, Senior Vice President of State Government Affairs and Corporate Communications. And to that end of what Catherine said, we conducted about 50 meetings with various stakeholders, legislative officials at the state and local level as well as the Governor's office and outlining all the drivers that Catherine just talked about educating them on the benefits of the filing and we intend to proceed along the procedural schedule of the case, making sure those contacts and those engagements continue, especially as we move into settlement negotiation and we intend to stay very close with the New York Governor's office and making sure directly from us that they are apprised of the progress of the case.
Pedro Azagra: And this is a priority for all of us. Just for you to make it clear that the senior team is on a daily basis involved on the rate cases and taking the lead also from the relationships and the dialogues.
David Arcaro: Great, very helpful color. Thanks so much.
Operator: Thank you for your question. Our next question comes from the line of Julien Dumoulin-Smith with Bank of America. Julien, your line is now open.
Julien Dumoulin-Smith: Hey good morning team, thanks a lot for the time. Appreciate it, and congratulations to the rest of the team here. Patricia well done. So I suppose just to continue on the line of questioning on the renewable side. Can you talk a little bit more about the renegotiation efforts here? Does that include offshore? Is that on the table as part of this conversation here? I just want to elaborate a little bit more as to what's to be done there?
Pedro Azagra: Let me just ask Jose Antonio Miranda. He will comment on the onshore solar initiatives and one specific we have just done and more to come. And I think in offshore, I wouldn't call it a renegotiation, we just need to optimize everything we can. So we are looking at everything we can and I think perhaps Saygin you can also comment on that.
Jose Antonio Miranda: Thank you Pedro, and thank you Julien for the question. Yes, I can confirm that our customers they have been very constructive and sophisticated because they are sophisticated parties and they understand the business environment that we are working on. And we have been able to land 180 megawatts of renegotiations to accommodate COD rates and also some commercial conditions. Of course, we have confidentiality with our customers and we cannot disclose the specific terms, but we are happy to see that they are understanding the needs of our business as also we understand the needs of their business. We are going to continue renegotiating prices especially for all the projects where the PPAs were closed, but still the construction has not started. So about Offshore, let me please give the floor to Saygin that can give you more color about the question.
Saygin Oytan: Hi. This is Saygin Oytan, Senior Vice President for Offshore. For the PPA that we have contracted out for offshore, they are first year prices are fixed. However, there's escalation in these contracts. Our efforts are focused on optimizing the CapEx and also optimizing the engineering and progressing with the development of activity at commonwealth pit. And for Vineyard Wind 1, we are already under construction and the project is on track in terms of schedule and cost.
Julien Dumoulin-Smith: Got it. Okay. All right. Excellent. Thank you. And then moving on just again focus on the renewables side of the business. Can you talk about taxes of late? I mean, obviously, there's been some wind outages on your portfolio, but just broadly related to that obviously high prices. And many folks remember last year in Uri [ph] and how you had an outperformance there. Can you speak about your position from a hedge perspective and ultimately net impact should we say almost quarter-to-date if you will?
Pedro Azagra: Yes. Antonio why don't you comment on this?
Jose Antonio Miranda: Yes. Thank you for the question. Well, Patricia already disclosed in her initial speech that we have been producing in this first half of the year 7% more energy compared with the same period in last year. But now totally specifically about Texas ERCOT, I happy to share with you that we delivered 12.5% more energy than in the same period in 2021. And it is right as you are saying and pointing out this has been even taking into account that we are now undertaking some in two large wind farms some large correctives that will take place until the end of 2022. But all-in-all if you have these figures also compared with the excellent response last year during the order strong well this is a clear testimony of our excellent operation in our assets in Texas. 
Julien Dumoulin-Smith: Got it. Excellent. And just a super quick clarifying. If you can just -- with respect to the commentary on AD/CVD and disability to Exxon projects here. Do you have sort of line of sight on deliverability of panels et cetera? I just want to make sure you clarify that out in terms of your status on procurement?
Pedro Azagra: Hello. Could you repeat the question please? For the panels you mean? 
Julien Dumoulin-Smith: Yes sorry. Just with respect to panels and just securing in line of sight on your development pipeline here. 
Pedro Azagra: So for all the projects that we have under construction we have the panels already secured not only from the price point of view, but also the terms and the delivery point of view. And so far we don't have any major impact related to the WRO or the US LP. Now still we know that there is a back-end for with the administration in order to understand what is going to be the procedure in order to clear to the customer and to the borders all the panels coming from source from China. 
Julien Dumoulin-Smith: Got it. All right. Well, best of luck. We will see you soon.
Pedro Azagra: Thank you.
Operator: Thank you for your question. Our next question comes from the line of Neil Kalton with Wells Fargo. Neil, your line is now open.
Neil Kalton: Hi. Thank you. Just wanted to get your latest thoughts on asset recycling opportunities, especially, around potential sales of interest in the assets. I think that's been alluded to in the past. Is that something that is potentially top of mind for you, or would you seek to be aggressive there? Is that more of a tool that you have depending upon what your cash flow needs a year or two out? Just want to get your latest thoughts on that. 
Pedro Azagra: I think the answer is, yes. We're very committed to also rotation. I think the idea will be in September when we present our long-term projections to do a very clear financing plan. And one of the items that will be there will be a rotation partnerships. I think in the offshore in the existing onshore and solar there are many potential divestitures that we can do. So the idea is yes that's something that will be on top of the agenda for us in September to come back to you. 
Neil Kalton: Perfect. Thank you. That’s all I had.
Operator: Thank you for your question. Our next question comes from the line of Insoo Kim with Goldman Sachs. Your line is now open. 
Insoo Kim: Hey. Thank you. First question going back to maybe onshore renewables a little bit. I think for 2023 and 2024 you still have a non-hedged open position of about 20% to 25% of your portfolio. Just in this higher price environment are you potentially looking to lock in through maybe financial hedges or other contracts just more of that pricing now, or could you give us a color on how we should think about the time line of layering in more of the hedges? 
Pedro Azagra: Normally our company is always based in PPAs and we limit our exposure to merchant at a very low percentage. Actually, you have the figures and now 70% approach of our assets they are based on PPAs and we hedged another 50%. So we only give merchant another 15%. And we -- our thinking is to keep with that trend. We are a conservative and prudent company and we want to base our pricing in PPAs.
Patricia Cosgel : I think just to clarify I think some of you might be looking at the fact that where we show the next couple of years out, we are just showing what we have hedged right now. But as Jose Antonio said the plan is to continue with hedging at the same level. So as we go through some of the hedges are only 12 to 18 months just will be adding on the hedges to keep to that targeted percentage. 
Insoo Kim: Okay. So I guess more on a time line that you guys typically follow versus just given the environment now maybe trying to layer on a lot more to lock in that open position.
Patricia Cosgel : I mean, yes, we are constantly looking at when the right timing to be able to do that. So we have those targets in line.
Insoo Kim: Okay. Fair enough. Second question maybe for Pedro just generally, I think, we discussed Avangrid with your patrollers still very committed to US offshore wind and development and expansion. With the Biden administration recently announcing plans to expand the lease areas in the Gulf of Mexico would Avangrid and Iberdrola have the interest to expand to that part of the US and maybe even to part to California as well?
Pedro Azagra: I think the answer is in two different ways. The first one is yes, we're always open to opportunities. I think you have seen us not bidding what we believe was not acceptable prices in some lease auctions. But at the same time, we won some projects and we take very low prices for those leases. I think the opportunities are there we will be there. But we will be always value driven to make sure we can justify it. Second, partnerships. I think we have done in the group as you know is to find partnership. There are other assets being considered in offshore partnership as well. I think we're going to be doing the same thing in the US. So from that point of view, I think, in the review we're doing of September, we'll come back to you with very clear objectives on asset rotation divestitures and partnerships. 
Insoo Kim: Got it. Thank you so much.
Operator: Thank you for your question. There are currently no more questions in queue. So I will pass the call over to Pedro Azagra for closing remarks. Thank you. 
Pedro Azagra: Okay. Thank you very much. As we close out an extremely successful quarter and first half of the year, I'm very proud of all this team, where all this team has accomplished to move this company in the right direction. We are driving towards One Avangrid, a company well positioned with diversified businesses in both networks and renewables with a singular focus on execution and being proud of being part of the Iberdrola Group. The initial results are clear both here in our accomplishments and in our strong financial performance. With this focus Avangrid has been in the right place at the right time and being the right company to accelerate the clean energy transition. We have several key advantages to highlight. First that, we are part of the Iberdrola Group, the global clean energy leader and will benefit from a wealth of global expertise a strong track record of both vision and successful execution and a near and revolt scale and purchasing power. Next, our unique and resilient business mix, with networks representing 80% of the business, complemented by onshore and offshore renewables which provide opportunity for incremental growth as well as to transform the US energy industry, with offshore wind. This business mix is really unique. Some peers have a combination of one or two of these items, but very few if anyone have all the three. Lastly, we are a recognized ESG+F leader and one of the nation's cleanest utilities. Our transformational investments will create jobs enhanced energy independence and stimulate economy, and we are building relationships with ESG stakeholders to help deliver on shared clean energy commitments. To date, I have engaged myself with more than 50 public officials over 90 investor's analysts and regulators, including many of you and close to 1000 of our employees in the last eight weeks. With a clear path forward, our team remains focused on maintaining our strong momentum on driving execution becoming the leading sustainable energy company in the US, and delivering strong and consistent results that generate sustainable value for you our shareholders, for our customers, and for our employees. And we will be working to make in the second half of the year even more successful than the first half. Turning to slide 20. Over the last several months our teams have been working hard to do a thorough review of our business and refers our financial projections and key assumptions taking into consideration the current economic context, our newest rate case filings and other key avenues for growth. We will be presenting on our strategy investments and long-term outlook at our Investor Day, which will be held on September 22, of this year at the New York Stock Exchange. The final logistics participants will be provided by Alvaro our Head of IR and Tim shortly. We look forward to sharing this information and hope to meet with many of you there or in the near future. Thank you again for joining us today for our second quarter call. If you have any other questions please follow up with Alvaro Michelle or Carlota and have a great day. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect your lines.